Operator: Welcome to the Air New Zealand 2023 Annual Results Call. [Operator Instructions] And with that, I will turn the call over to Air New Zealand's General Manager of Corporate Finance, Leila Peters.
Leila Peters: Thank you, and good morning, everyone. Today's call is being recorded and will be accessible for future playback on our Investor Centre website, which you can find at www.airnewzealand.co.nz/investorcentre. Also on the website, you can find our annual results presentation, the annual report and media release, as well as other relevant disclosures. This year, we've also released our 2023 sustainability report alongside the annual results, and I would encourage investors to review these materials too. Speaking on the call today will be Chief Executive Officer, Greg Foran; and Chief Financial Officer, Richard Thomson. I'd like to take a moment to remind you that our comments today will include certain forward-looking statements regarding our future expectations, which may differ from actual results. We ask you read through the disclaimer and in particular, the forward-looking cautionary statement provided on slide 2 of the presentation. I will now hand the call over to Greg.
Greg Foran: Thank you, Leila. Kia ora and good morning, everyone, and thanks for joining us on today's call. I think it's safe to say that the aviation industry continues to keep us on our toes. Reflecting back over the past year, it's remarkable to think that we've gone from reporting one of our worst financial performances ever in 2022 and today we are announcing the second highest profit in our history. And between times we've ramped up our international network at pace, hired and trained, over 3,000 staff, launched direct flights to New York and developed a roadmap to guide our progress on decarbonization through to the end of the decade. We've announced a new cabin layout for our widebody aircraft coming in late 2024, including the world's first Skynest and dealt with two of New Zealand's most severe weather events this century with the Auckland floods, which caused extensive damage to our head office and our hub at Auckland International Airport and Cyclone Gabrielle, which upended entire communities across some of the regions we serve. To say it's been a busy 12 months would frankly be an understatement. The financial result announced today, earnings before other significant items and taxation of $585 million was delivered in the context of what can only be described as an extraordinary operating environment. If we look first at the demand side of things, demand rebounded far quicker and stronger than anticipated and we welcomed almost 16 million customers on our network compared to just 8 million in the prior year. It's been incredibly rewarding to get back to doing what we love to do, but it has certainly stretched us operationally at times. The surge in demand coincided with market-wide supply constraints, and I'm talking here about supply of aircraft, supply of labor, supply of spare parts, and supply of all the infrastructure that supports our operations. We are only now starting to see more capacity come on line, but it's taken everyone, ourselves included time to ramp back up to scale. Significant delays with OEMs remain difficult to navigate with long and uncertain lead times in some cases as well as significant pricing increases. This is making it even more difficult for us to add much needed supply back into parts of the network. From an operational perspective, these bottlenecks are frustrating, but they also mean that global aviation is less likely to return to the levels of oversupply seen in pre-pandemic days anytime soon. These dynamics and constraints have driven the environment you see today, both here in New Zealand and globally across the aviation sector, tight supply and high inflation, driving higher prices for customers and a high yield environment for operators. Our real focus has been on controlling what we can and delivering brilliant basics for our customers. That means getting our customers to and from their destinations on time, and we've lifted on time performance back to pre-COVID levels from 68% in July 2022 when the first international ports reopened to 84% in June and 82% in July this year. It means increasing employee levels in key areas such as refunds and in the contact center to work through backlogs, and it means investing in digital tools that have seen us embed greater self-service capabilities for customers, helping us remove five weeks worth of core volumes out of the contact center. Richard will take you through more details of the financial performance in a few minutes, but I did want to note that the Board is pleased to declare special dividend of just over $200 million or $0.06 per share, an acknowledgement of the extraordinary performance achieved this year. We have also revised our capital management framework, which is effective from FY24 onwards. And Richard will touch on that as well, including how we are thinking of future shareholder distributions. At the interim results, we spoke candidly about the challenges we faced with the contact center wait times, the on time arrival and departure of our flights, mishandled baggage and the wait time taken to process refunds. Alleviating these constraints has been our key focus for the second half of the financial year. I have already touched on most of these points in my earlier remarks, but these charts show you the very real progress that has been made in each of these areas. We did see a small uptick in baggage in July with the school holiday volumes, but performance has much improved compared to December 2022 and better than the industry averages. Despite all the change in operational challenges, as the second half of FY23 came to a close a month or so ago, there was a real sense that we started to get our groove back and we are working hard to keep that momentum going. Turning to slide 6 now. We continue to see resilient levels of customer demand across our network, which is encouraging. Domestic demand is largely at pre-COVID levels, with our capacity back at around 94%. We have been pleased to see corporate bookings remain strong at around 85% of pre-COVID numbers, with revenue at around 10% above pre-COVID levels. We know this is a little different to what some of our global peers are seeing, and we think that is largely due to the high volume of SME customers we have flying on our network. Leisure and visiting friends and relatives continues to underpin demand, most recently supported by the FIFA Women's World Cup event hosted in a number of cities around the country. We have increased marketing activity in recent months, and customers have been responding well to those sales campaigns, which has helped maintain our booking levels. International bookings continued to strengthen in the past six months since interim results, increasing to around 85% of pre-COVID levels, and we returned our remaining 777-300s to service. All markets are performing well with North America continuing to show strong demand both inbound and outbound. Within Asia, Singapore remains extremely popular, serving as a great hub for onward travel to Europe, Southeast Asia and India. We have also seen good momentum on our Shanghai services in recent months as China slowly ramps up. Short-haul international markets also continue to see good levels of demand with leisure based destinations throughout the Pacific Islands performing very well. Although you’ve heard me talk today about a trading environment that is as constructive as any of the aviation industry has seen, we do know that these conditions are unlikely to persist long-term. Even if supply constraints remain as they do today and it's likely they will for some time yet, there are some very real headwinds on the horizon. Market capacity from New Zealand to the U.S. will increase over 120% this summer, with American carriers adding new services as well as our competitor across. Turning to Asia, we are starting to see the Chinese carriers reengage with New Zealand with additional services also planned from various ports. And while greater levels of capacity are a good thing for markets that are currently undersupplied, the increasing cost of living may start to impact discretionary spend and with it people's travel plans. Fuel prices are currently elevated and may be for some time, and we will see the annualization of some costs across the business in the coming 12 months. At the same time, inflation continues to have a widespread impact. We also know this year that we have a significant increase in airport costs to factor into our plans, particularly at our airport hub in Auckland. As we navigate our way through these challenges, I'm confident we are well positioned as an airline. We have a core set of enduring competitive advantages that we have spent years cultivating and fortifying. These advantages will support us through both difficult periods and when times are good, and they really help power up our performance. I will now hand over to Richard to go through the financial results.
Richard Thomson: Thank you, Greg. And kia ora to everyone on the call. Turning to slide 9, I will touch on some of the key financial highlights for the year. Operating revenue was $6.3 billion, driven by continued strong levels of demand domestically and the restart of our international network, which resulted in passenger revenues of $5.3 billion. As Greg mentioned, we are very pleased to announce earnings before other significant items and taxation for the year of $585 million and statutory earnings before taxation of $574 million. Liquidity has continued to strengthen since our interim result, ending the year at $2.6 billion, which includes $400 million undrawn Crown standby facility. Free cash flow was very strong at $937 million, contributing to a significant reduction in net debt levels. Net debt to EBITDA ended the year at 0.3 times, which is substantially more conservative than what we would consider an appropriate long-term position. Our pre-tax return on invested capital was just over 22%, a function of both, the extraordinary financial performance in the year, as well as low net debt, which is temporarily below normal target levels as we look to higher capital expenditure over the next few years. I'll touch more on that shortly. Finally, as Greg mentioned, the Board declared a fully imputed special dividend of $0.06 per share in recognition of the Company's performance in financial year '23, which equates to approximately $200 million that we are very pleased to be returning to our shareholders. Turning now to our profitability waterfall on slide 10. There's a lot of information here, so I will only highlight a few points. Revenue of course, is the key driver of improvement year-on-year, up by over $3.5 billion with a fairly balanced mix of capacity growth in RASK performance. Within that bar, cargo revenues reduced by $390 million, the majority of which was driven by the reduction and then cessation of air cargo support schemes over the course of the year as passenger flying restarted. Fuel costs were $1.5 billion for the year, increasing by over $800 million, primarily due to increased flying activity as the network returned closer to pre-COVID levels. A detailed fuel cost waterfall can be found on slide 25 in the appendices. Maintenance, aircraft operations and passenger services were $1.4 billion up $597 million or 81% on the prior year, mainly driven by increased flying, the commencement of all remaining international routes and price increases, which grew on average by about 7%. Labor cost increases reflect the significant rehiring effort that Greg discussed earlier, primarily of operational staff to support increased flying activity as we restarted much of the international passenger network. Investments in temporary labor support were also made in the second half of the year to address operational challenges across the airports and contact center in particular. Our FTE levels increased by approximately 30% to a bit under 11,500 compared to 8,900 last year. Rate increases across the labor force vary depending on the various work groups, but on average we saw a 5% increase in wage rates in financial year '23. Lastly, on the slide, I'd like to remind you that we've been utilizing a wet lease aircraft over majority of financial year '23 to support operational resilience. This lease will conclude at the end of October and added approximately $30 million in cost over financial year '23 and is expected to add approximately $20 million in costs in the first half of financial year '24. Turning to slide 11, the impact of inflation is being felt in business and is certainly not unique to New Zealand or the aviation sector. We've attempted to summarize in terms of broad averages, the differential between wage inflation across our operational workforces or what we call our direct workforce, and then the price increases from the supply chain and third-party service providers who we need to operate the network. That's referred to as variable operating costs and excludes the oil prices. You can see that there has been a substantial increase in prices from pre-COVID across the cost base. The investments we are making in the digital and infrastructure spaces will help mitigate some of this pressure over time and help drive efficiencies in the cost base. Turning now to slide 12 in our unit cost performance. We’ve shown 2023 performance compared to both financial year '19 and financial year '22 to provide greater insight into movements across each period. Underlying CASK, that’s cost per available seat kilometer, which excludes the impact of fuel prices, foreign exchange movements, third-party maintenance activity and wage subsidy support in prior periods, increased by almost 27% compared to 2019. This reflects price inflation across much of the cost base over the past four years, as well as some inefficiencies as we've ramped up international operations throughout the year. CASK has also been impacted by the differences in the network mix being flown, whereby in 2023 we had lower levels of longer sector lower CASK flying than we experienced in 2019. Compared to the prior year, underlying CASK is improved by 15%. As we look forward to the current financial year, we expect underlying CASK to continue improving from 2023 levels, reflecting the ramp-up in capacity growth year round, particularly across long-haul sectors. This will be more pronounced in the first half of the year than the second half. Turning now to slide 13. There are a few comments I'd like to make regarding our forecast aircraft investment. Firstly, in financial year '23, we took delivery of three Airbus A321neos configured for our domestic network. We have four remaining domestic neos on order with two of those aircraft expected to be delivered this financial year, one in the first half and one in the second half. These two aircraft will be paid from our existing cash balance and will become part of our growing unencumbered aircraft portfolio. Secondly, we have discussed previously the retrofit program for our 14 existing Boeing 787 aircraft. This is a significant program of work, which will take several years, putting the new interior product, including redesigned business class seats into our Dreamliner fleet. We are now in a position to provide better insight into the timing and phasing of that investment, which will total approximately NZ$450 million to NZ$500 million, depending on the FX rate. So it has been included in the chart this year. The bulk of that spend is forecast to occur in the 2025 and 2026 financial years and will align our 787 product offering across both the new and existing aircraft fleets. Thirdly, as we announced earlier today, we have entered into agreements for additional aircraft, two additional owned ATR 72-600s for the New Zealand regional fleet, which are expected to deliver in the 2025 financial year and will bring the ATR fleet up to 31 aircraft in total. We have also entered into lease agreements for two A321neos in international configurations, which will be utilized on Tasman and Pacific Islands routes. This is an important complement to enable connectivity for these markets, following the reduction in widebody aircraft when we retired our Boeing 777-200 fleet of 80 aircraft during the COVID pandemic. The two additional ATR units are included in the CapEx chart on the upper part of the slide, but the two leased A321neos are not, we have included their expected delivery dates in the table below for completeness. You can see the expected phasing of the aircraft capital expenditures are showing through to 2028, and we do not have any committed capital beyond that time period. The total forecast spend to financial year '28 that you see reflected in the bars on the chart is approximately NZ$3.6 billion, which also reflect a weaker New Zealand dollar FX rate assumption. Finally, before moving on, we do have further capital investments that are not committed aircraft spend, but are just as important to support long-term resilience, customer innovations as well as operational efficiencies. These include engine overhauls, digital investments and some property development out at Auckland Airport. We do have a slide in the appendix that touches on those areas for context. So, please make sure to have a look at that. Turning to slide 14 and looking at our fuel hedge position for the year. We are approximately 74% hedged for the first half of financial year '24 and 35% hedged for the second half. This is in line with our fuel hedge policy, whereby our hedging profile follows a declining wedge structure. We are only hedged for Brent crude, and therefore our fuel cost is exposed to volatility in the crack spread between crude and jet fuel, which has continued to fluctuate over the past year and especially in recent weeks. In terms of structures, we primarily have call options in the near-term, with an average effective price of $80 per barrel. These options allow immediate participation in downside market movements, should they occur, and we did enjoy that benefit in the last few months of the 2023 financial year. Estimating fuel costs for the coming year is challenging, of course, but we have provided our current view of financial year '24 fuel costs, which assume an average jet fuel price of US$105 per barrel. This reflects the current average of the forward fuel curve. Based on the makeup of our hedges, we have also provided an approximation of how an increase or decrease in fuel price would impact our fuel costs for the coming year. At US$105 a barrel for jet fuel, our fuel cost for the year is currently assumed to be approximately NZ$1.8 billion. Turning now to slide 15, we are very pleased that a fully imputed one-off special dividend of $0.06 per share has been declared by the Board in recognition of the strong financial result delivered in 2023. This equates to approximately $200 million. The Board believes a special dividend is the best way to provide a return to shareholders at this time, given the unique market dynamics that have contributed to such a strong result this year. Given the losses incurred by the airline over the course of the pandemic, we don't expect to have imputation credits to attach to any future dividends for the next several years. Looking now at slide 16, we have announced a revised capital management framework today which our Board has approved and will be effective from the 2024 financial year. For context, following the recovery from COVID, the Board determined that it was appropriate to revisit the airline’s previous capital management settings around liquidity, leverage, investment targets and distributions. We have increased our target liquidity range, which was previously $700 million to a $1 billion to be $1.2 billion to $1.5 billion. This includes cash and is currently supplemented with the existing Crown standby loan facility, which is undrawn. The revised target is more conservative than it has been historically and is proportionately in line with global airline peers. A key principle underpinning the capital management framework remains our commitment to maintaining an investment grade credit rating. We are currently rated BAA2 by Moody's and it's the Board's intention to maintain this rating, which provides the airline with financial resilience and flexibility in terms of access to various funding markets and attractive pricing. Given this importance, we are moving away from reporting a gearing target of 45% to 55% to implementing a net debt to EBITDA target metric of 1.5 to 2.5 times. This better reflects how our lenders, credit agencies and investors assess our financial leverage. Our distribution policy has been revised from a consistent and sustainable ordinary dividend to a payout ratio approach of 40% to 70% of net profit after tax. Again, this will be in place with effect from the 2024 financial year with the distributions each period being ultimately determined by the Board, taking into consideration profitability, where we're at in the CapEx cycle, and other macroeconomic factors. We will continue to target a return on invested capital on our investments above our cost of capital. As mentioned earlier, we have some significant capital expenditure programs over the next three to five years and we'll continue to maintain discipline on the spend to ensure it delivers the appropriate long-term return for our shareholders. We are committed to operating within our target credit metrics, noting when there is surplus capital available. The Board will weigh up potential growth investment opportunities, as well as additional distributions to shareholders over and above the ordinary dividend. Before moving on, it's worth acknowledging that we are currently well outside our target liquidity and leverage ranges. There are a number of tools that can be utilized to prudently transition back into this range over time, including but not limited to funding additional aircraft with cash rather than debt, prepaying existing debt, making additional shareholder distributions, and/or carrying out a share buyback program or other form of capital return. With that, I'll pass you back over to Greg who will discuss the outlook.
Greg Foran: One of the bigger changes in FY24 is the increase in international carriers who will start flying to New Zealand. We have provided some high level comments of the competitive situation in each of our markets, and I'm happy to take questions on this. We believe we are well positioned to face into the increased competition. However, we acknowledge that this is likely to put pressure on yields from current levels. I won't linger on slide 19, it's fairly self-explanatory. Clearly there is a significant increase year-over-year, most notably in the first half of the year as we lap the growth in our long-haul markets. We expect to be pretty close to our pre-COVID capacity by the end of this year. And as a reminder, that is with the widebody fleet about a third smaller but optimized more effectively around our network. The airline notes that the 2023 financial year was particularly unique with significant customer demand, constrained market capacity and lower overall fuel prices, and as such, we view the 2024 financial year to be more reflective of future financial performance. Looking ahead to the first half of the 2024 financial year, customer demand remains strong across our markets. We are mindful of the uncertain economic environment however and acknowledge there are a number of factors that may impact future customer demand and profitability. These include increased international competition, volatile fuel prices, a weaker New Zealand dollar, ongoing wage inflation and increased airport charges. Given the uncertainty and volatility of some of these macroeconomic factors, the airline will not be providing guidance at this time. Finally, I'd like to end my remarks by simply saying thank you again to our amazing team of Air New Zealanders for all your efforts and to thank our customers for choosing to fly Air New Zealand. To those on the call, thank you for your time today and listening as we've shared our results. I know you will have questions. So, operator, please open up the line.
Operator: [Operator Instructions] And our first question will be coming from Andy Bowley of Forsyth Barr. Your line is open.
Andy Bowley: Thanks, operator. Good morning, guys. A couple of questions from me. The first of which is probably for Richard around the new ROIC target. It appears sensible given what's happened to the risk-free rate in recent times, and it's a pretty important KPI. Can you give us a sense of what your pre-tax WACC currently is in terms of your estimate, please?
Richard Thomson: Yes. Hi Andy. Good morning. Thanks for the question. I mean, obviously, it'll move around from year to year, but currently sort of 12% to 13%. 
Andy Bowley: That's great. And maybe just some of the key inputs in terms of how you think about the likes of asset beta and various other aspects of the model?
Richard Thomson: We might take that one offline, Andy. That's probably bit of technical.
Andy Bowley: That’s fair enough. Alright, let's move on. So, the next one is around the yield backdrop. And I recognize it's only a snapshot in time and there's a fair few moving parts here. But, what do your forward bookings tell you about the anticipated yield or RASK trends over the next 6 to 12 months across your key markets?
Richard Thomson: Yes. Good question. As Greg sort of mentioned earlier today and in his comments, the sort of yield environment continues to hold up and certainly going into the first six months of this year we've got sort of ongoing confidence in that. It's been sort of relative to pre-COVID as opposed to relative to FY23, up around sort of the 30% plus mark, sort of depending on the market, anywhere between 25% and 35%. And currently, it's holding for the first or certainly as far forward as we can see. It's sort of holding around that level.
Andy Bowley: And I guess then translating that into the competitive pressures that -- and the various other headwinds that Greg alluded to, the expectation being is that those kind of trends will remain above pre-COVID -- sufficiently above pre-COVID levels to more than mitigate the inflationary cost pressures that are coming through in the business?
Richard Thomson: That's right. Look, I think looking forward to next year, Andy, probably the challenge if anything that we have got is that yield, as I say, since pre-COVID, moved 25%, 35% higher. It's unlikely given the increasing competition that we are seeing that we are going to get sort of much more on that going forward. But we are going to have on the cost side sort of a year of increased aeronautical charges, that sort of wage price inflation, which is why we think 2024 will be more moderate than sort of the profit -- or the operating environment we have experienced this year, and more reflective of the environment we like to be trading in going forward.
Operator: And our next question will be coming from Nick Mar of Macquarie. Your line is open.
Nick Mar: Good morning, guys. Just following on, on the capital management side. I'm sure there is a lot of moving parts around sort of the profitability and the likes over the next kind of five years. But where do you think the net debt-to-EBITDA gets to, taking into account this CapEx profile and sort of how you look at the business, forecast from here?
Richard Thomson: Yes. Hi, Nick. Richard here. Look, we expect that to get sort of over the course of the next 18, 24 months back into the midpoint of the range that we've described.
Nick Mar: And does that include capital management initiatives?
Richard Thomson: Yes.
Nick Mar: Okay. Great. When we look at the result, obviously, it's the second -- PBT number. But if you look at, I guess, margin percentage, it's still some way off kind of even the sort of the [Technical Difficulty]. How do you kind of think about the business in terms of the margin? Is that sort of particularly relevant to you guys and how you compare it against other airlines, or is it sort of not a metric that's supported, rather sort of like an absolute [Technical Difficulty]?
Leila Peters: Sorry, Nick. It's Leila. Your question was slightly muffled. Can I just clarify? Is your question on what our view is related to -- is it profit margin or EBITDA margin versus other airlines? Was that the question? Would you mind repeating it?
Nick Mar: Yes, absolutely. Just in terms of profit margin, I think on my numbers, it was sort of maybe the first best year you had versus absolute profit was the second best and obviously took a [Technical Difficulty]. But is sort of absolute profit margin is something you look at for the business and sort of how you can get that or [Technical Difficulty]?
Leila Peters: I’ll let Richard respond. But I think absolute profit margin isn't necessarily what we look to versus -- we prefer looking at EBITDA margin in terms of underlying trajectory and health of the business going forward. But I’ll hand it back to Richard for any additional thoughts.
Richard Thomson: EBITDA margin, very much the focus -- once you get much below that, [Technical Difficulty] EBITDA margin reflects fleet age as well. But certainly once you get much below that, what comes through the P&L is sort of influenced then at that point by fleet age and sort of capital structure. So, we tend to focus on EBITDA going forward. It is an important metric, Nick.
Operator: [Operator Instructions] And our next question will be coming from Marcus Curley of UBS. Marcus, your line is open.
Marcus Curley: Good morning. Rich, I just want -- a couple of questions if I can. I just wanted to clarify, I know you're not giving guidance, but as you sort of think about the current year, you're thinking more in terms of yields holding relatively firm and costs growing as opposed to yields fading and cost growing?
Richard Thomson: Yes, certainly in the first six months of the year. 
Marcus Curley: And could you help us on what you think a range of sort of potential, your unit cost growth is ex fuel, like in particular -- I know you've talked a wage cost rate, but where do you think staff costs go, aircraft operations go or at a high level…?
Richard Thomson: No, really good question. Yes, Marcus. So, I mean, obviously as we go into the New Year, there is in the first half of the year sort of in particular more flying. So, there'll be activity related, cost increases. We think from a labor perspective you would've seen over the course of the last year, so labor rates, rate only is increased by around the 5% mark. We expect over the course of the next year, it will sort of continue to increase sort of around the 5% to 6% range, much above 5 though we are looking for productivity sort of improvements amongst the workforces that get sort of increases higher than that. But that's about where it sits. As Greg I think mentioned in his comments, outside of labor, I think probably where we are seeing sort of cost pressures over and above that 5%, particularly in some of our third-party costs aeronautical we've talked about, and a bit about Auckland Airport, but actually internationally airport charges are going up and ground handling charges internationally are going up by a bit more than that in a rate sense.
Marcus Curley: And could I draw -- if you pull that all together, what it means for unit cost ex fuel?
Richard Thomson: Unit costs, ex fuel and activity increases, so rate only sort of between 5 and 7 -- 5 and 6.
Marcus Curley: Thank you. That was all for me. Thank you.
Leila Peters: Marcus, could I just -- it's Leila. I wanted to add the nuance, which we covered off in Greg's remarks on the FY24 capacity plan. There'll be quite a different SKU in the cost per ASK and sort of the underlying rate versus price for first half versus second half, as Greg mentioned, because of such a significant upswing in long-haul, which drives a mix effect in the cost. It also drives a mix effect in the revenue in terms of RASK, which I know you're well across, but just wanted to draw your attention to that first half, second half distinction.
Marcus Curley: Leila, could I ask and I'm not sure if you've worked this out. But if you kept underlying -- if is stable that you're allowed for the mix change, what would be the overall RASK impact on the business next year?
Leila Peters: That's a good question. I haven't worked it out, but I'll come back to you on that. Yes. It would be dilutive to RASK given the long-haul mix. RASK is significantly of course lower than short-haul or domestic RASK. But I'll come back to you with some calc on that following this call.
Operator: [Operator Instructions] And I'm showing no further questions. I would now like to turn the call back to Leila for closing remarks.
Leila Peters: Thank you, operator, and thank you everyone for joining the call this morning. We know that there are many announcements going on today and everyone is quite busy, so we very much appreciate your time. If there's any questions throughout the day or following today, please direct them to Kim Cootes or myself in Investor Relations. Thank you, and have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.